Operator: Greetings, and welcome to the REX American Resources Fiscal 2023 Third Quarter Conference Call. [Operator Instructions].  I would now like to turn the conference over to Mr. Doug Bruggeman, Chief Financial Officer. Please go ahead.
Doug Bruggeman : Good morning, and thank you for joining REX American Resources fiscal 2023 third quarter conference call. We'll get to our presentation and comments momentarily as well as your question-and-answer session, but first, I'll review the safe harbor disclosure. In addition to historical facts or statements of current conditions, today's conference call contains forward-looking statements that involve risks and uncertainties within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements reflect the company's current expectations and beliefs but are not guarantees of future performance. As such, actual results may vary materially from expectations. The risks and uncertainties associated with the forward-looking statements are described in today's news announcement and in the company's filings with the Securities and Exchange Commission including the company's reports on Form 10-K and 10-Q. REX American Resources assumes no obligation to publicly update or revise any forward-looking statements. I have joining me on the call today, Stuart Rose, Executive Chairman of the Board; and Zafar Rizvi, Chief Executive Officer. I'll first review our financial performance and then turn the call over to Stuart for his comments. We are very pleased to report these record net income and earnings per share quarterly results. Sales for the third quarter increased slightly compared to the prior year. Ethanol sales for the quarter were based upon 73.2 million gallons this year versus 66.3 million last year. The increase in sales volume were offset by lower pricing across all categories, largely reflecting commodity pricing for this time period. We reported a $30 million increase in third quarter gross profit to $39.3 million this year versus $9.3 million in the prior year as we benefited from lower corn and natural gas pricing over the prior year third quarter. SG&A increased from -- increased for the third quarter from $5.8 million to $7.6 million primarily due to incentive compensation linked to the large increase in earnings. As mentioned in the second quarter, the company made a change in the method of accounting to begin classifying shipping and handling costs as cost of sales instead of within selling, general and administrative expense as historically presented in order to improve the comparability of gross profit and SG&A reported. The company has applied a retrospective application of its new accounting policy. This change only impacts cost of goods sold and selling, general and administrative expense and has no impact on the earnings reported. We had income of $4.7 million from our unconsolidated equity investment in this year's third quarter versus $661,000 in the prior year, primarily reflecting the improved industry operating conditions for this time period. We reported interest and other income of $4.9 million versus $2 million in the prior year. The increase primarily reflects increased interest rates as well as $862,000 from COVID relief grants received from the USDA during this quarter. Income before income taxes and noncontrolling interest was $41.3 million for the third quarter compared with $6.1 million in the comparable year ago period. We reported a tax provision of $9.6 million versus a provision of $1.2 million in the prior year. These factors led to net income attributable to REX shareholders of $26.1 million for this year versus $3.2 million in the prior year's third quarter. Net income per share attributable to REX shareholders was an all-time record $1.49 for this year's third quarter versus $0.18 in the prior year. Stuart, I'll now turn the call over to you.
Stuart Rose: Thank you, Doug. Going forward, the business has continued to be strong, and we expect our fourth quarter to be significantly better than last year's corresponding quarter. We're working hard on our carbon capture project and also making -- and also are increasing the capacity of our One Earth plant. Zafar will discuss the ethanol business and carbon capture business in his segment. We have cash of $332 million on consolidated cash on our balance sheet of $332 million. We're earning interest on that, which should be significantly better or we hope it to be significantly better than last year. The ethanol plants expansion will use some of that cash the carbon capture project. We'll also use some of that cash. Again, Zafar discuss this on his part of the call. We're always looking for other ethanol carbon capture businesses and other entities that could benefit from our expertise. So far, we have nothing imminent on the acquisition front. We have our buybacks still available. We buyback on dips. And currently, we are not purchasing any shares. I'll now turn the conference call over to Zafar Rizvi.
Zafar Rizvi : Thank you, Stuart. Good morning, and thank you for joining us today for the third quarter earnings call. As Stuart and Doug previously mentioned, our team successfully capitalized the opportunity in the commodity market and were able to achieve the best result in the history of the company. We have seen some decline in the cash margin in the fourth quarter compared to the third quarter, but we believe we still be able to achieve significantly better results in comparison to last year's fourth quarter. According to the EIA and November 29 report, ethanol stock and production dropped during the week. We have also seen natural gas price drop considerably, which has a positive impact on our financial results. The November 9, 2023, USDA report showed an expected output of 15.23 billion bushels of corn, second highest on record and 174.9 bushel per acre yield for the year 2023-2024. We are pleased that corn yields in Marion, South Dakota, this year is estimated at 152-bushels per acre compared to 132 bushels last year. As you remember that we have the last couple of years draught in Marion in South Dakota area. Also, approximately 580,000 acres, 12% more acres where corn were planted this crop year compared to last year on Gibson City, Illinois, are less stable at 203 bushels per acre compared to 214 bushels per acre last year. But almost 400,000 more acres were planted and an increase of 4% or more -- were planted this year compared to last year. Looking ahead, the drop in the ethanol and DDG export could negatively affect future results if this continue throughout the next year. Ethanol export through September 2023 were approximately 1 billion gallons compared to 1.1 billion gallons in 2022 during the same period. DDG export through September 2023 was approximately 8 million metric tons compared to approximately 8.5 million metric tons, a decrease of approximately 428,000 metric tons compared to the same period 2022. Considering all these factors, we still believe our fourth quarter is expected to produce much better results compared to the same quarter last year, as I mentioned previously. Let me give you some update about our carbon project. As I mentioned in our previous calls, we believe our carbon capture and sequestration project will further advance our sustainability goals and have a financial impact that will improve the company's performance for our shareholders. We have budgeted approximately 165 million to build a carbon capture comparison and storage facility, expand the One Earth Energy plant, ultimately 200 million gallons annually and undertake other projects related to the reducing carbon intensity. The construction of the capture and compression facility has started and long lead items have been ordered. And all modular compression equipment for the facility is scheduled to be delivered by early next year. The construction of the facility is expected to be completed by the end of second quarter, at which time testing of the facility will begin. We continue to complete the paperwork of different government agencies, while we wait the EPA approval of the Class VI permit for carbon injection and for the Illinois Commerce Commission's approval to construct a 7.2 million -- 7.2 miles carbon pipeline. All these performance and approvals depend on several local state federal agencies. Unfortunately, we cannot predict when we will receive these permits on these various agencies. In other updates, 2 other carbon pipeline companies recently withdrew their pipeline application. Big River Resources has entered into an agreement with Navigator, which withdrew their carbon pipeline application. We are pleased about the big milestone we have reached so far and hope different government agency will complete their approval early next year. We will also continue to evaluate other projects that would improve our energy efficiencies, reduce carbon intensity. If we successfully achieve our goal, we will be prepared to provide low carbon ethanol and byproducts with a social impact of reducing carbon in the atmosphere and a financial impact that improved the company's performance for our shareholders. In summary, we are pleased to announce the most profitable quarter in our history and we believe our fourth quarter is expected to be produce much better result compared to the same period last year. We continue to make progress on our carbon sequestration project and a plan to increase ethanol production of One Earth Energy ultimately to 200 million gallons to maximize 45Z tax credit benefits. Once again, we could not achieve this milestone without the hard work and dedication of our colleagues. We are very appreciative of their efforts in achieving these positive results.  I will give back the floor to Stuart Rose for additional comments. Stuart?
Stuart Rose: In conclusion, we completed the best quarter in our 39-year history as a public company. We drastically outperformed the industry. As Elon Musk said, we don't -- as he said yesterday, for people who are listening to his conference call, the different -- he has no patents or his patents are all open patents. We have no super patent or anything like that. but we better execute than our competitors and our people are the real reason for that. They're the best people -- we feel we have the best people in the industry. We feel that they know what they're doing. in carbon capture, for example, everyone else has these big pie in the sky projects. We focused on a project that we believe is very doable. And at the moment, I believe we're in the lead in the ethanol business, in our carbon capture project to -- ahead of any other carbon capture project that I know of in the ethanol business other than our ADM, which was done long ago. So we're, again, going to show, we believe that execution is way more important than anything else, and we feel we're better at that than anyone else. As I said earlier, we feel we know we have good plans, we know we have good locations, but the most important thing we have is good people. And our people are just terrific and they get all the credit for this quarter. It's just a terrific job and they deserve it. I'll now leave the forum open for questions.
Operator: [Operator Instructions]. Our first question comes from Jordan Levy with Truist Securities.
Unidentified Analyst: It's Henry on for Jordan here. Congrats first on the quarter. Start off, I know you mentioned the 2Q date before. I was wondering if you have any more color on some of the different benchmarks, both on the construction side and then from the EPA around on the CCS build that we should be looking for over the next 12 to 18 months?
Zafar Rizvi: I'll take that. As far as concerned about the EPA, I think it's under a technical review they have -- and we have no idea how long that technical review will take. But as far as construction of the facility is already started, as I mentioned previously, and the marginal unit, which will be arriving in February. And we believe that our facility will be completed by the -- by July 31 or earlier.
Stuart Rose: That does not mean we'll be a business July 31, it may take a little longer because we still may be waiting for permits that.
Zafar Rizvi: The construction of the facility will be completed, but we cannot operate unless we receive the EPA permit and pipeline permits I mentioned earlier. But as far as concerned, the compression facility will be completed.
Unidentified Analyst: And then just looking ahead to next year, how are you guys looking at the ethanol landscape shaping up kind of compared to this year? And have you guys started having conversations with any of the nearby operators on potential carbon offtake given kind of where you're at your advanced time line for your current carbon capture projects?
Zafar Rizvi: I'm sorry, could you repeat that question again? I wasn't -- I'm not sure what exactly you're asking, please.
Unidentified Analyst: Just a quick one on kind of the ethanol landscape, how you're seeing that shaping up for next year? And then just anything you have on any conversations if you have begun having them with nearby operators for a potential carbon optic given where you're at with the CCS buildout?
Zafar Rizvi: I think as far as concerned, ethanol, looking forward, as I mentioned that we are in a commodity business. I think it's very hard to predict more than even a couple of months or 3 months. So at this stage, I really cannot predict what happened with the commodity market and its change every single day or every month. And what we -- when we're going to see any opportunity, we will be there to materialize that. So I really cannot predict what happened next year. But I can -- as I mentioned, the fourth quarter, certainly, we believe that it will be -- will be much better than last year's same fourth quarter. But as far as concerned about the carbon, I think once we complete the facilities, we -- that will be probably by the end of 2025. At that time, we will see exactly that if there is other sources of the carbon is available from anybody else. Otherwise, our expansion of the ethanol facility will be -- still will be a very feasible project with using 45Z and even 45Q, return on investment is much higher than we expect.
Stuart Rose: One thing on your question, I think you should -- you probably realize you've been following our stat for a long time. Zafar and his team have proven quarter after quarter after quarter that they know the commodity business and a really good at it. Other people with all their futures contracts and the big floors of commodity traders and everything, they have drastically underperformed what Zafar and his team have done. And there's no reason if it's happened in the past, there's no guarantees that's going to happen in the future. But when you look at that team and what they have done, I think you have to say that we know this business and that we're better. Again, as I said in my call, better executing than everyone else. And again, on the carbon capture, we hope to have a completed with permits by the end of next year, which would be -- with 45Z a huge, huge addition potentially to our earnings per share. So we'll see what happens. And that's the thing that we are putting, Zafar and his team is putting in the growth area, the most efforts into. And again, if he does that, like -- if they do that like they've done ethanol business, we're in really good shape.
Zafar Rizvi: Yes. And I add to that since we are increasing our production to 200 million gallons. So every reduction from [0.52] reduction every gallon is $0.02 a gallon. So if we -- and the carbon sequestration is approximately somewhere $0.30 to $0.35 -- 30 to 35 points. So if we are able to reduce our carbon footprint, our intensity. And as we are working on several other projects so we can generate with the 200 million-gallon ethanol facility for over 3 years, some were 5$00 million to $600 million tax credit.
Stuart Rose: Again, that would be the most we can generate. We don't want people putting that in their numbers, but that's what we're working so hard to get to and if we even get to half of that, that's all increase in earnings per share. So that's -- we have a big bogey out there, and we're going to work hard to get us as much of it as we can.
Zafar Rizvi: That's the reason we are allocating $165 million to it, it's a major investment and it certainly is the risk, but we believe the return is much better and much higher.
Operator: Our next question comes from Chris Sakai with Singular Research.
Chris Sakai: Just a question on where are you seeing the most demand for ethanol?
Zafar Rizvi: Where we see the most demand in ethanol, you mean the export side?
Chris Sakai : Right.
Zafar Rizvi: I think mostly right now, we have seen the Canada, and we have recently seen the United Kingdom, Netherlands, South Korea, Colombia. So those are the top 5. We have seen some in India also. So certainly, it's a lot of these countries are importing. So Canada is always on number 1.
Chris Sakai : Okay. Great. How are you guys seeing the price of corn and dried distiller grain and modified distillers grain heading into the next quarter?
Zafar Rizvi: I think the corn is, generally speaking, as you can see, that's trading about $4. Yesterday, it was $4.49 and today is some increase. So I think that, as I mentioned previously in the South Dakota area, certainly, we have seen some minus bases. And we have seen some bases in overall in Illinois has gone up a little bit. We have seen this in Indianapolis and some other part where it was not as good production as it compared to last year is plus basis. But otherwise, most of the area is the minus basis.
Chris Sakai : And what about the price of natural gas as we head into the winter?
Zafar Rizvi: The natural gas price has considerably dropped as I mentioned that we have seen that is less than $5 for January, February. And we have seen that about for March as low as $2.56 or $2.67. So that will be a major impact, as I mentioned that in my previous prepared remarks that we have seen the drop in natural gas pricing.
Operator: Our next question comes from David Locke with Old Mammoth Investments.
David Locke: First off, I'd really like to thank you guys for taking questions. There are some -- some teams out there that seem sort of afraid to take questions from their investors in a public forum. So thanks for your time and your candor in doing this.
Stuart Rose: Thank you. Thank you for asking questions.
David Locke: So my first question is like the industry overall has been beset by a ton of operational problems. the last few months, explosions, fires, et cetera. To what extent has that contributed to the good financial margin environment for the last half year or so and how have you guys managed to sidestep all of that? And relatedly, how old are your plants relative to industry average?
Stuart Rose: We have some of the newest plants in the industry. They're under , I believe, under 10 years old, some of these older plants just should be shut down, to be honest with you. The fires and all that stuff maybe helped us a little bit. I don't know if they had commitments where they had to buy. I'm not sure if the situation where they had to buy product on the open market on the spot market. that certainly, if they did, that would help. But I think you have not -- and we have a number of plants, some we only own a small part of, but we have many plants, and these are all newer plants. We made -- in the beginning, we made a decision to go with the best builder in the best plants. And I don't know of any I'm not -- I don't know of any operational problems in these plants. They're just better built. We service and we -- semi-annually we do an extensive service on these things. and they're just state-of-the-art better plants. That's all I can say, the Vegan ICM plants. When you see a 100 million-gallon Vegan ICM plant, very seldom do you see anything materially go wrong with those plants. There can always be a tornado or something, but the plants themselves are built terrifically. And we take -- in our case, we take extremely good care of those plans.
Zafar Rizvi: I will add to that is, I think the safety is our number 1 priority. We always review that every month, the safety procedure God forgives anything can happen to anybody. but we are making sure all the safety procedures are followed and drills are happening and other very closely monied the safety things. And as Stuart mentioned, there's a couple of plants which happened I think -- I think if you bring -- there's 1 plant in happen in South Dakota, that was about only 70 million-gallon plants that were shut down for a while. ADM plants were shut down for maybe a couple of weeks of more. And so I think there is -- Stuart has mentioned that there is maybe a minor impact. But I think the overall, if you look at the commodity market, that also makes a difference when you have an October 2nd on corn worth trading $4.88 and ethanol was trading $2.36 a -- so there is plenty margin at that time to look at it to make sure that this is the time to lock in and moving forward. So I think as Stuart mentioned, it all depends what -- when and what time you execute -- execute your profit and consider that this is good enough and less lock in and move on.
Stuart Rose: We believe strongly we have the best commodity trading team, not just the best plants, but I really believe we have the best commodity trading team led by Zafar in the ethanol business.
Doug Bruggeman : Our consolidated plan for build between 2007 and 2009, if I can just add that on.
David Locke: So as you guys continue to sort of like scour the M&A market, but not find anything that's worthwhile. Are you looking for -- are you looking for plants that look like the ones that you have? Or is there -- like are there dumpster diving opportunities for you to bring your management expertise and maybe fix up 1 of these older ones?
Stuart Rose: We have -- we don't dumpster dive. So that won't be us. We don't -- we're not fix up artists. I'm not saying that we couldn't do it, but we have come very close to buying plants that are similar to ours, Vegan ICM plants and that were 100 million gallons in for one reason or another, it hasn't worked out, but that would be our preference, and that would be what we would look for. Unfortunately or fortunately, whatever you want to say, most plants could really -- are doing really, really well and the price has gone very, very much up on those plants. So I don't see anything coming imminently. But in this industry, you never know what might happen.
David Locke: Okay. How do you guys feel generally about the broad supply/demand environment for ethanol right now? I mean we've been -- we've been oversupplied for the better part of 1.5 decades, it feels like, although we've had sort of just consistently decent margins all year this year with some really high ones over the summer and early fall. So like have we finally managed to make it to balance with a little bit of increased demand and some supply coming offline?
Zafar Rizvi: I think -- go ahead, Stuart, you want to say.
Stuart Rose: I was going to say, in my opinion, it's a commodity and you never -- what will happen is there'll be one way or another. We're expanding our plants. There are always -- if it does continue this demand, there will be some expansion and then the supply will keep up with it. But we have hoped as an industry and it may or may not happen. The government has given a lot of support to it happening of supplying things like jet fuel. We also would be -- have hoped to be in a very, very low carbon fuel which creates demand for our fuel in addition to what it is now across the country. And we -- there are more and more pumps, I see them in Dayton. I see them even I assume around the country, more and more pumps that are greater than 10% ethanol in cars today that are manufactured today can run on 15% ethanol. So then that would be a 50% increase in the gas stations make more money on 15% ethanol. So they have incentives. So there's help that, that will increase demand. So to answer your question, it's a commodity business, but a lot of things are moving in our direction.
David Locke: Okay. And then my last question is on the pipeline in Illinois. Do you guys need any imminent domain rulings to make that happen? And it seems like there have been some problems in Iowa recently with that. And the clown show the VAC is sort of like actually campaigning in Iowa about that whole issue. So I'm just sort of curious what the gating items are for getting that installed.
Zafar Rizvi: Yes, I can answer that a little bit. I think if you look at the Illinoi law has clearly stated regardless of we plan to use it are not eminent domain. But regarding the pipeline, Illinois law clearly state that we can use Eminent domain. But as far as our attention, way at this stage, we do not believe that we have to use Eminent domains because we have approximately 4 miles pipeline to the well number 1. And by the time we reached well number 2 and 3, the last well it's only 7.2 miles pipeline. And so we may have some difficulties. We do not know. But as far as concerned, which we have primary indication, which we have we do not believe that we will be using any Eminent domain. But the law is still there exists and in case of -- we have no choice whatsoever that maybe we consider, but that's not what our attention is at this stage.
Stuart Rose: And keep in mind, as Zafar has said, we're only going 4 miles, and it's a lot of that 4 miles is over land farmland where these are -- we're helping the people that we're dealing with for these 4 miles are selling their corn to us. So -- and some of them are shareholders, I believe. So they have a big incentive to make this happen because in both cases, they're better off having us do well and they'll do well. And it's been a great partnership for many, many years, as Doug said since at least 2009. So we have done -- we have been -- they've done good for us, I believe. I know we've done good for them. And these are -- and it's not -- you're thinking -- when you think these other pipelines in Iowa, they're going hundreds of miles. We're going 4 miles. So it's not -- we don't think it's going to be any issue if it is, Illinois law back us up, but we don't believe it will be an issue at this time.
Zafar Rizvi: Yes, exactly. And I think Stuart is exactly right. As you mentioned, the people are going out there for test. As you know that, that can happen. We cannot stop them. That's their opinion, and they certainly same people go almost every state in Illinois, in Iowa, South Dakota and that's the -- that's what the values they think they have and the -- but as far as we're concerned, we continue to concentrate what we have to provide and what we have to do.
David Locke: Okay. thanks a bunch for the clarification and nuance on that. That's all I've got. And thanks for another excellent quarter, and congratulations on kicking everybody's butt.
Stuart Rose: Thanks for the questions.
Operator: Mr. Rose, there are no further questions at this time. I will now turn the call back to you.
Stuart Rose: We'd like to thank everyone for listening, and we look forward to talking to you at the end of the next quarter. Thank you. Bye.
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line. Have a great day, everyone.